Operator: [Operator Instructions] Good morning. My name is Mike, and I will be your conference operator today. At this time, I would like to welcome everyone to the Newpark Resources First Quarter 2024 Earnings Conference Call. Today's call is being recorded and will be available for replay beginning at 12:30 p.m. Eastern Standard Time. The recording can be accessed by dialing (800) 723-6062 for domestic or (402) 220-2665 for International. [Operator Instructions]. 
 It is now my pleasure to turn the floor over to Gregg Piontek, Chief Financial Officer of Newpark Resources. Please go ahead. 
Greggg Piontek: Thank you, operator. I'd like to welcome everyone to the Newpark Resources First Quarter 2024 Conference Call. Joining me today is Matthew Lanigan, our President and Chief Executive Officer. Before handing over to Matthew, I'd like to highlight that today's discussion contains forward-looking statements regarding future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements.
 Our comments on today's call may also include certain non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures are included in our quarterly earnings release, which can be found on our corporate website. There will be a replay of today's call, and it will be available by webcast within the Investor Relations section of our website at newpark.com. Please note that the information disclosed in today's call is current as of May 3, 2024. At the conclusion of our prepared remarks, we will open the line for questions. 
 And with that, I would like to turn the call over to our President and CEO, Matthew Lanigan. 
Matthew Lanigan: Thank you, Gregg, and welcome to everyone joining us on today's call. Our first quarter performance was a solid start to the year, one highlighted by both sequential and year-over-year growth in adjusted EBITDA. Industrial Solutions project activity levels accelerated as the first quarter progressed, positioning us for a strong second quarter, consistent with our expectations coming into 2024. At a strategic level, we continue to advance our multiyear business transformation plan during the first quarter investing in the growth of our Industrial Solutions business, which remains the central driver of our long-term value creation strategy.
 For those newer to our story, we've spent the last 3 years positioning Newpark to become a leading pure-play specialty rental business servicing the global worksite access market. Operating the nation's largest fleet of the DURA-BASE Composite Matting System, along with our adjacent services we provide customers with a reliable all-weather load-bearing work surface that allows their critical infrastructure construction projects to be undertaken safely and efficiently. In 2023, nearly 60% of our Industrial Solutions revenues were the customers within the electrical, utility, infrastructure market, positioning Newpark as a leading beneficiary of an ongoing multiyear investment cycle focused on the expansion, hardening and resilience of our electric grid. 
 With multibillion-dollar government programs focused on improving the nation's electricity infrastructure, combined with the on-shoring of several industry segments and growth in AI data centers, we see a significant and sustained investment cycle in the electrical grid to support these programs, creating long-term demand for our worksite access solutions. Through our unique vertically integrated model, we design, manufacture, rent, sell and service our DURA-BASE Composite Matting Solutions. Our rental fleet and world-class manufacturing capabilities allow us to respond quickly to the needs of our customers, making us a responsive and reliable partner for the varying needs of the industries and customers we serve. 
 With the service life of around 12 to 15 years, we believe the DURA-BASE system offers a safer, longer-lasting replacement to traditional wooden mats, which currently represent an estimated 75% to 80% of the U.S. market. Continued penetration of traditional timber applications represents a significant opportunity for our business. Beyond our U.S. markets, with over 25 years of setting the standard for composite matting, our products continue to support critical infrastructure projects and our strategic partners around the world.
 Our DURA-BASE Mats are fully recyclable, not only allowing us to responsibly play our role in the growing circular plastic discussion, but also creating superior unit economics, whereby an end-of-life mat can be reground and reprocessed back into a new unit that can be placed into an additional 12- to 15-year service life at significantly improved economics compared to its initial manufacturing cycle. It's an exciting time for our business, and we're looking forward to building upon the progress we've made so far. 
 With that overview, let's take a deeper look at our first quarter performance. On a consolidated basis, first quarter adjusted EBITDA increased 31% sequentially and was up modestly versus the prior year period. We also delivered both sequential and year-over-year growth in adjusted EBITDA margin in both our Industrial Solutions and Fluid Systems businesses during the quarter, primarily driven by a combination of more favorable sales mix and operating cost leverage.
 Within our Industrial Solutions segment, following a subdued start to the year, demand conditions accelerated as we moved through the first quarter, putting us on pace for a stronger Q2 performance. Notably, the first quarter Rental and Service revenues from the utility sector improved on both the sequential and year-over-year basis, which was offset by declines in revenues from pipeline and oil and gas sectors. Industrial Solutions adjusted EBITDA margin increased 150 basis points versus the prior year to 36.8% in the first quarter as volume and improved operating leverage offset lower blended pricing. 
 As we've stated on prior calls, we continue to pursue an increased number of larger scale longer-duration infrastructure projects. These longer-term projects can create a more stable base of revenue and enhanced return on investment but also tend to carry a pricing structure below that of shorter-term rental projects. In support of our growth strategy, we're actively building out our U.S. commercial sales teams, expanding coverage in targeted Midwest and West Coast markets, while also continuing our investment in rental fleet expansion.  
 During the first quarter, we invested $12 million in the growth of our matting fleet, given the strengthening customer demand drivers I referred to earlier. While this capital investment led to an anticipated negative free cash generation in the first quarter, we see a return to positive free cash in the second quarter and for full year 2024. Within our Fluids segment, our first quarter performance benefited from a combination of strong international demand, along with improved pricing and continued cost actions, which together contributed to a 120 basis points of adjusted EBITDA margin expansion year-over-year. Our segment revenues from international operations increased 19% versus the prior year, supported by strong growth from our Eastern Hemisphere and Canadian operations. 
 With that, I'll turn the call over to Gregg for his prepared remarks. 
Greggg Piontek: Thanks, Matthew, and good morning, everyone. I'll begin my remarks with a summary of our consolidated and the segment level results for the first quarter, followed by an update on our outlook for 2024. Our first quarter was highlighted by a 31% sequential improvement in adjusted EBITDA, driven by strong profitability within our Industrial Solutions segment and the International Fluids business units. Consolidated first quarter revenues improved 1% sequentially, generally in line with our expectations shared on our previous quarterly call. The Industrial Solutions segment revenue was $49 million in the first quarter, down at 12% on a year-over-year basis due primarily to the timing of product sales, but up 5% on a sequential basis.
 This result was generally in line with our expectations as we anticipate customer activity and project timing to ramp up through the year. Total Rental and Service revenues were $35 million for the first quarter, down slightly on both a sequential and year-over-year basis. As Matthew touched on, rental project activity steadily improved through the first quarter, leading to a 5% sequential improvement in rental revenues though our mix of less service-intensive projects led to a sequential decline in service revenues. The first quarter rental fleet utilization improved modestly on a sequential basis, though our Q1 exit rate was meaningfully stronger than the full quarter average, which positions us for a strong sequential improvement into Q2. By industry, the utility sector contributed nearly 60% of rental and service revenues for the quarter, delivering growth on both a year-over-year and sequential basis, while oil and gas pipeline and other industries decline.
 First quarter product sales were $14 million, a meaningful sequential improvement though below prior year levels due to project timing issues. Our Rental and Service revenues contributed more than 70% of our first quarter segment revenues, in line with the 2023 mix of Rental and Service versus product sale revenues. Industrial Solutions profitability was strong in the first quarter, with the segment delivering a 36.8% adjusted EBITDA margin, up 150 basis points from last year due primarily to a more favorable mix and operating leverage. The Fluids Systems segment generated revenues of $120 million in the first quarter with our international business units delivering solid growth on both a year-over-year and sequential basis. Our Eastern Hemisphere region contributed $68 million or 57% of our total Fluid Systems' revenues in Q1.
 The first quarter results reflect an improvement of 8% sequentially and 24% year-over-year, with the year-over-year improvement driven by broad-based improvements from several markets within Europe, the Middle East and Asia Pacific. Revenues from Canada increased 1% sequentially to $21 million in the first quarter, which reflects a 10% year-over-year improvement. Our U.S. operations contributed $30 million of revenues in the first quarter, reflecting a 17% sequential and 56% year-over-year decline. The year-over-year and sequential declines are primarily driven by a combination of the continued softening of the U.S. market activity and the lower market share as well as a notable decline in the average revenue contribution from the rig service. With the effects of the U.S. market softness, we are maintaining our focus on pricing and expense discipline, along with balance sheet efficiency. 
 Fluids' segment adjusted EBITDA margin improved 120 basis points year-over-year to 7.2% in the first quarter, benefiting from the higher revenue from our international business and continued cost efforts in the U.S. SG&A expenses were $24.3 million in the first quarter, including $7.9 million of corporate office expense. The first quarter of 2024 includes $2.3 million related to the fluid sale process, while first quarter of 2023 included nearly $1 million for strategic planning activities. Despite the elevated project expenses in 2024, total SG&A is down $1.1 million year-over-year, primarily reflecting the effects of cost rationalization efforts in the U.S. Fluids and corporate office. Interest expense was $1.8 million in the first quarter, down modestly on both a sequential and year-over-year basis, primarily reflecting the effect of lower overall debt balances.
 Tax expense was $2.8 million in the first quarter, reflecting an effective tax rate of 28%, which includes a favorable impact from previously unbenefited U.S. NOL carryforwards. Adjusted EPS was $0.10 per diluted share in the first quarter compared to $0.04 in the fourth quarter and $0.09 in the first quarter of last year. Operating cash flow was $12 million for the first quarter, including the effects of our annual employee incentive program payouts, while $13 million was used to fund our net CapEx, substantially all of which was directed toward the Industrial Solutions' matting fleet expansion as we seek to capitalize on the growth opportunities and strengthening demand conditions. We ended the first quarter with total debt of $77 million and cash of $38 million, resulting in net debt of $40 million, a 0.5x net leverage ratio. Let's now turn to our business outlook. 
 As before, we remain highly constructive on the multiyear demand outlook for both businesses. Within Industrial Solutions, we continue to see strong fundamentals for utilities and critical infrastructure spending, which remains our largest customer market. Our full year 2024 expectation for the Industrial Solutions segment remains unchanged. We continue to forecast 2024 Industrial Solutions revenues in the $230 million to $240 million range, with segment adjusted EBITDA in the range of $80 million to $85 million and segment CapEx of $30 million to $35 million. In terms of near-term outlook, we've seen a strong start to the second quarter, both in rental projects and product sales activity and combined with our current pipeline and quoting levels, we anticipate Industrial Solutions to deliver total year-over-year revenue growth of 15% to 20% in Q2. 
 In Fluid Systems, while the U.S. market outlook remains somewhat challenged, our Eastern Hemisphere and Canada business units, which contributed 75% of the segment's revenue in Q1 continued to perform at a high level. Overall, we expect Q2 Fluid Systems revenues to be 15% to 20% lower on a year-over-year basis, primarily reflecting lower activity in the U.S. At the lower level, we expect segment adjusted EBITDA margins in the low to mid-single digits as the effects of the lower volume are largely offset by improved pricing and the effects of overhead reductions in the U.S. 
 In terms of capital allocation priorities, our view remains relatively unchanged as we continue to prioritize investments into the organic growth of our rental fleet. We expect our 2024 net capital investments will remain dependent upon our projected rental revenue growth rate. Beyond our continued organic investments in Industrial Solutions, we expect our free cash flow generation this year will be primarily used to build liquidity for inorganic growth opportunities or through a return of capital to shareholders through our programmatic share repurchase program following the completion of our Fluids Strategic Review process. 
 And with that, I'd like to turn the call back over to Matthew for his concluding remarks. 
Matthew Lanigan: Thanks, Gregg. As we look at the remainder of 2024, our priorities are clear. First, we will continue to execute our plans to become a leading pure-play specialty rental business serving the global worksite access market as we build upon our leading position with the DURA-BASE Composite Matting System. At an organic level, we intend to continue prioritizing capital investment in the growth of our rental fleet which historically has generated cash returns in excess of 25%.  During the first quarter, 95% of our total CapEx was directed towards the Industrial Solutions segment. 
 Second, we will continue to drive further efficiency improvements across all corners of the organization, positioning us to realize improved operating leverage. During the first quarter of 2024, we continue to take actions to streamline our overhead structure across both segments and the corporate office, generating approximately $3 million in annual cost savings. Finally, we remain committed to a returns-focused capital allocation strategy that includes a combination of internal investment, inorganic growth and return of capital to shareholders. 
 In February, we increased our remaining share repurchase authorization to $50 million to support our return of capital program. While the first quarter included annual employee incentive program payouts, and investments in rental fleet that reduced free cash flow generation, we expect to be free cash flow positive for the duration of 2024, positioning us to advance our capital allocation priorities. Turning briefly to our Fluids business strategic review. We continue to work diligently to evaluate alternatives, and we remain focused on having the process substantially completed by midyear 2024. In closing, I want to thank our shareholders for their ongoing support, our employees for their dedication to the business, including their commitment to safety and compliance and our customers for their ongoing partnership. 
 And with that, we'll open the call for questions. 
Operator: [Operator Instructions] And we do have our first question from Aaron Spychalla with Craig-Hallum. 
Aaron Spychalla: First for me, you've kind of talked about the pipeline growth, mid- to high teens last quarter in Industrial. Can you just give us an update there, especially considering the additions to the fleet in the first quarter? And then just any changes you're seeing in the market competitively within composites or wood just given lumber prices or it really seems like we're starting to see this transition away from wood towards composites? You kind of talked about 75%, 80% of the market being wood today. 
Matthew Lanigan: Thanks, Aaron. It's Matthew. I'll take that one. Look, in terms of pipeline, we still see robust growth in the pipeline. There hasn't been material change quarter-on-quarter in terms of the growth we have seen there. What we are seeing is that pipeline representing a more forward-looking view of project start duration. If you look back historically, roughly 50% plus of our pipeline was starting and the projects within the quarter that they were quoted. We're seeing that now push out a quarter or so into the future, which is positive for us. It gives us a better line of sight to the future quarter. But other than that, quoting activity remains robust, which I think is supported by the views in the market of a stronger second half to the year and continue to reinforcement of CapEx plans from utilities. So all looking positive there. 
 On the competitive side, not a lot to report that's different there. I think there's still a tightening, I believe, in supply and demand as we look forward. Interesting to note that some of the participants in the market who have large positions in timber fleets are now calling out that they're looking to build composite fleets. So I think your inference there is accurate that people are seeing the value advantage of the composite mats in terms of unit economics and lifetime advantages. So we're encouraged by those signals as well. 
Aaron Spychalla: Great. And then maybe second, you've had good progress on the cost reduction and efficiency efforts. I think you called out $3 million of annual savings. So it looks like we're around kind of mid-20s for those corporate costs adjusting for some things. Can you just kind of talk about the progress towards that kind of high teens target and kind of time line to get there? 
Greggg Piontek: Yes, this is Gregg. If you carve out the transaction related, the sale process related costs that we had mentioned here, you're really running now in a, call it, a 22%, 23% range in terms of cash expense at the corporate level. And as we had talked about in the past, while we're continuing to look -- you're always looking for ways to continue to streamline your organization. I think the more meaningful shift is really post-completing the strategic review of Fluids. That's really when you have the greater ability to adjust your cost structure. 
Operator: Our next question comes from Amit Dayal with H.C. Wainwright. 
Amit Dayal: So with respect to the cadence for the rest of the year, you indicated year-over-year improvements in 2Q. So from that point onwards, again sort of sequential improvements? Or maybe any lumpiness in the next 3 quarters? 
Matthew Lanigan: Yes. I mean I'll attempt that one. As far as the visibility goes, we're continuing to see good growth in the pipeline, which would suggest continued growth throughout the year. We do call out every year that depending on how dry the summer months are, and the loads on the grid during the summer months, that can slow activity on the rental and service side. And then typically, we have seen a stronger Q4 on the direct sales side. We're not seeing anything that causes us to think that those longer-term trends have changed. And just based on the strength of our pipeline, build here, we feel comfortable with the rest of the year is building quite nicely. 
Amit Dayal: And then you highlighted maybe pursuing longer-term rental contracts and those could come with slightly lower margins. How much lower would those margins be relative to your legacy rental business? 
Greggg Piontek: Yes, this is Gregg. I guess the way I would frame that is I wouldn't think it would be a large driver in terms of bringing your overall pricing down. Again, you got to look at these projects in terms of their overall profitability. The longer term gives you greater visibility, gives you more stability, allows you to manage your fleet to a higher utilization. So net debt, you're generating a solid of a return on investments as the shorter-term projects but the pricing profile is just -- can be lower and it's really a function of size and length of project is what drives that difference. 
Amit Dayal: Okay. Understood. Then I guess just last one. Maybe you touched on a little bit already, this corporate overheads, where are savings on that side? Is there any further room or are we done with those types of cuts for now? 
Greggg Piontek: I would generally say we're -- I would not expect meaningful movement in the cost structure in the near term. Like I said, we're always looking for opportunities to streamline. But again, the more meaningful change in our overall structure really comes following completion of our strategic review of Fluids. 
Operator: And our next question comes from Gerry Sweeney with ROTH Capital. 
Gerard Sweeney: Question on the Midwest, West. You've discussed building out your sales in those areas. Just curious a couple of little questions here. How big of an opportunity is it versus I know I think you're a little bit bigger, especially in the Southeast, how does sort of that zone compared to the Southeast? And then how long would it take to get a big enough presence there that we start to see some dollars coming through in a meaningful way? 
Matthew Lanigan: Yes, Gerry, I think the way we look at that market is there's no reason it couldn't be a substantial, as say, our Texas market or something like that based on the infrastructure requirements there. So a reasonably meaningful piece. The sales cycle really depends on project timing and our ability to get in there and penetrate some customers that we haven't traditionally serviced. But our anticipation would be that within 12 months, we should see that operating at a fairly efficient level. So the great thing about this business is we're getting there with sales first. We start to build the relationships then we start to move the assets into those markets. So we're not committing a large amount of capital here and waiting for it to be productive. We can flex that in as the activity levels dictate. 
Greggg Piontek: Yes. I was just going to add, I think you can look at the examples of our previous expansion, when we went into the East Coast, the Southeast and the Mid-Atlantic regions. And as we build that out, that was kind of a 12- to 18-month sort of process to ramp those up. 
Gerard Sweeney: And I was going to say, would acquisitions be an opportunity in that area, especially to speed up the process or gain a little bit more scale? 
Matthew Lanigan: Yes, Gerry, we've always kind of said that we would evaluate those markets on an acceleration basis. If having somebody in there that already has the relationships and has the appropriate safety culture and operational efficiency that we look for, we'd obviously consider that as well as doing it organically ourselves. 
Gerard Sweeney: Got it. One more question. This is government spending, i.e., stimulus we're working with a bunch of companies that's seeing a lot of stimulus spending. But a lot of the commentary from them is "hey, we're at the back end, the dollars had to flow through, projects approved, et cetera." Most of them are just seeing a little bit of dollars coming through today and expectations always going to speed up '25, '26. Are you guys in the same boat, or are you seeing a little bit more spending earlier? 
Matthew Lanigan: Yes. Look, we're in the same boat, Gerry. I think from the outset, we were sort of seeing '25 will be the year where those funds would start to flow through in a way that would be impactful to us. And I still think that is our view at this point. 
Operator: Our next question comes from Min Cho with B. Riley Securities. 
Min Chung Cho: I'm on for Alex  Rygiel this morning. Great quarter. Most of my questions have been answered, but I have a quick one regarding the rental revenue, maybe breakdown in the U.S. versus U.K.? I know that you have a strong business in the U.K. Can you talk a little bit about any difference in the demand dynamics there? 
Greggg Piontek: Well, let me -- I'll start with the mix. First of all, overall, when you look at our Rental and Service split is roughly 90% U.S., 10% U.K. In terms of the demand dynamics. 
Matthew Lanigan: Yes, look, in terms of the demand dynamics, I think primarily, the market in the U.S. is the electrical utilities in the U.K., we tend to also get more rail. If you look at High-speed 2 and some other large infrastructure projects going on there, they are consumers of access. So the only real difference we see there is the industry service. But both here and in the U.K., the thematic of infrastructure investment and improvement of both is strong, and we're looking forward to that sort of supporting the business for years to come. 
Greggg Piontek: Yes. In terms of the CapEx that we mentioned, I just wanted to point out that, that is supporting both growth in the U.S. and also the U.K. fleet. 
Min Chung Cho: Excellent. Also, and Gregg -- SG&A was a little bit higher than we had expected. Do you expect this to be a pretty good run rate on a quarterly basis for the rest of the year? 
Greggg Piontek: I think when you look at the quarter, again, I think it's important that you do look at the transaction, the sale process and related items that we had called out as well as the severance. But adjusting for that, yes, I think that, that underlying growth run rate is a fairly accurate rate going forward. 
Min Chung Cho: Excellent. And then finally, you had mentioned targeting larger projects. Do you have anything in backlog yet? Or if you could just talk about the progress that you're making on those types of projects so far? 
Matthew Lanigan: Yes. Thanks, Min. As we look at our forward pipeline, we are seeing a distribution shift towards larger projects. So we are seeing that start to flow through. And if we would describe that as backlog, then we are seeing a build in that backlog in those larger projects. So we feel like that focus is working for us. 
Operator: And our next question comes from Bill Dezellem with Tieton Capital. 
William Dezellem: I'd actually like to follow up on that last question, the pipeline of new projects becoming larger and ask why, what has led to that? Is that a function of what's happening in the market? Or is that your own emphasis on those projects? 
Matthew Lanigan: Yes, Bill, I think it's a little bit of both. One of the things that we were coming into the T&D space, traditionally from our oil and gas markets, there was some concern that we would have the fleet capacity to service some of these larger projects. Over time, as we've invested in fleet and we've demonstrated our ability to service and meet the varying needs of those project types I think we have one more confidence with the project owners that we can execute and meet their needs. 
 Moving forward, as we continue to invest in our fleet, we see that being even more so. So I think there's a little bit of A, the projects are out there; and B, we continue to demonstrate that we can service them safely and efficiently and meet all of the requirements of our customers, which is helping pull through more volume in that space. 
Greggg Piontek: And obviously, the more you penetrate this, it just improves your visibility, improves your stability in your overall rental and service operations. 
William Dezellem: Great. That is helpful. And then continuing on the Industrial Solutions segment, what's led to the strength exiting the first quarter? Is it as simple as project timing? Or is there something bigger that's taking place there? 
Matthew Lanigan: I think you nailed in the first bit there, Bill, it's really just the projects getting underway. So I'd like to say there was more magic than that, but it really is just the way these things have timed out. 
William Dezellem: I've given you the opportunity to take credit for Magic and you're just going to set that aside. 
Greggg Piontek: Yes. I think this goes back to why we continually emphasize the focus on the full year and TTM. Again, you do have these project timings resulted in quarter-to-quarter sort of swings, but they do balance out over the year. 
William Dezellem: Great. And then a couple of questions relative to the Fluids business, please. Are books still going out on the Fluids business? Or are those out? And now we're in the next phase of the process? 
Matthew Lanigan: Yes, Bill, I think it's probably safer for us to kind of leave that one and just trying to revert to the script that we put forward, which is we're moving forward in the process and optimistic about our conclusion in the first half. 
William Dezellem: Okay. And then would you please discuss the swing factors with the Fluids operating income that led to it being up what, I think, $3-plus million on a $24 million revenue decline. 
Greggg Piontek: Yes. Overall, it is more than anything. You've got the mix shift. And we've always -- we've talked about the profitability of the business here International versus the U.S., which is historically the international has been a stronger performer. So you have that mix shift as well. We also had the benefit of the pricing. We had talked over the past year of the impact that we've had with some of the inflation, which we're unable to push through contracts. We had to wait for contract renewals that's continuing to come through to drive strength in the overall pricing. 
 And then the last factor there is also on the U.S. side. With the U.S. being a much tougher market landscape continuing to take cost out to offset some of the deterioration. So you put all those things together, and ultimately, it's leading to a more profitable business than what it was a year ago. 
Operator: And we have reached our allotted time for our question-and-answer session today. I will now turn the call back over to the management team for closing remarks. 
Greggg Piontek: Sure. That concludes our call today. Should you have any questions or requests, please reach out to us using our e-mail at investors@newpark.com. And we look forward to talking to you again next quarter. Thank you. 
Operator: This does conclude today's program. Thank you for your participation. You may now disconnect.